Operator: Good day, ladies and gentlemen, and welcome to the Curtiss-Wright First Quarter 2014 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer and instructions will be given at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Jim Ryan, Director of Investor Relations. You may begin.
Jim Ryan: Thank you, Ashley, and good morning, everyone. Welcome to Curtiss-Wright’s first quarter 2014 earnings conference call. Joining me on the call today are Dave Adams, our President and Chief Executive Officer; and Glenn Tynan, our Vice President and Chief Financial Officer. Our call today is being webcast and the press release, as well as a copy of today’s financial presentation are available for download through the Investor Relations section of our company website at www.curtisswright.com. A replay of this call also can be found on the website. Please note today’s discussion will include certain projections and statements that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on management’s current expectations and are not guarantees of future performance. Forward-looking statements always involve risks and uncertainties and we detail those risks and uncertainties in our public filings with the SEC. In addition, certain non-GAAP financial measures will be discussed on the call today. A reconciliation is available in the earnings release and at the end of this presentation and will be available on the company’s website. Now, I would like to turn the call over to Dave to get things started. Dave?
Dave Adams: Thank you, Jim, and good morning, everyone. For our agenda today, I will provide a brief update on recent events, followed by Glenn, who will review our first quarter financial update and discuss the increases to our 2014 guidance. I will return to wrap up by providing some additional color on our margin expansion progress and opportunities and then open the call for questions. As you have seen by our press release last evening, we began the year with a strong first quarter performance. Our results directly reflect the emerging benefits of the transformational journey we embarked upon in December of last year. One of the initial tasks completed under the One Curtiss-Wright vision was the organizational realignment of our prior segment structure into three new market-facing segments. Thus far, our actions to flatten the organization have resulted in lower segment cost, which as a result has led to improved profitability across the enterprise. The organizational realignment as well as our operational and productivity improvement initiatives are beginning to manifest themselves in operating margin expansion, as expected. As we have discussed, our new strategy is united across the company with a razor-sharp focus on improving profitability, expanding our margins, and driving steady improvements in working capital and free cash flow. Furthermore, I will remind you that these metrics are aligned with the compensation plans for our entire management team. Based on the guidance we issued in December and as we have discussed previously, our improvements are aimed at driving Curtiss-Wright to upper quartile metric performance versus our peer group that should lead to strong shareholder returns in the future. Combined with the positive impact of our operational improvements, the acquisitions we made in late 2012 and early 2013 have integrated nicely and are accretive to our operating income and margin. Looking ahead, I am bullish on further integration benefits and continued improvement in core operational efficiencies that will drive Curtiss-Wright’s performance this year. Now, I would like to turn the call over to Glenn to provide a review of our quarterly performance. Glenn?
Glenn Tynan: Thank you, Dave and good morning everyone. As you can see by our results, we are off to a great start in 2014. First quarter sales were up in both our commercial and defense end-markets and included solid contributions from our acquisitions. Operating income rose 55% generating a 200 basis point improvement in operating margin to 9.2%. On an organic basis, which excludes acquisitions and FX, operating income increased 48% that produced organic operating margin of 9.3% in the first quarter, up to 190 basis points from the prior year. And as Dave highlighted, these results reflects the benefits from our operational excellence and margin expansion initiatives across the enterprise, which keeps us on track for strong performance in 2014. Our operating performance in the first quarter produced diluted earnings per share of $0.72, which exceeded our expectations. In addition, we had solid new orders during the first quarter driving our book-to-bill to 1.26. Next, some color on the drivers of first quarter operating income and margin performance. And note that we are presenting our segments in the new structure that became effective on January 1 of this year. Starting with Commercial/Industrial operating income rose 60% and operating margin increased 300 basis points to 12.4% including 100 basis points in acquisition margin dilution primarily from the Phönix and Arens Controls acquisitions. This segment’s strong organic operating income growth and 13.7% operating margins were driven by higher sales volumes, the benefits of our margin expansion initiatives and increased profitability and operational improvements from our 2012 acquisitions, which is principally related to Exlar and Williams Controls which had moved beyond their initial purchase accounting related transaction costs. In the Defense segment operating income was up 25% and operating margin was up 250 basis points to 10.5%. As a reminder our overall defense business is much leaner now than in the past. If you recall we proactively repositioned several businesses through operational restructuring and cost reduction activities over the past few years in response to potential sequestration related budget cuts, which contributed to the solid operating margin expansion in the quarter. We also benefited from higher margins realized on the licensing of select non-core products which was partially offset by higher cost estimates on the AP1000 program. Next in the Energy segment operating income increased 16% and operating margin was up 50 basis points to 7.2% principally related to our efforts to improve sales and profitability in the oil and gas business. We continue to benefit from improved utilization of existing Houston operations resulting from the in-sourcing of Cimarron’s manufacturing and support growing demand in the upstream market along with the implementation of lean and operational excellence initiatives across our operations. These improvements were partially offset by lower sales volumes in the power generation market. Overall, our combined segment performance was strong as operating income increased 38% and operating margin increased 220 basis points to 10.4%. And finally, we experienced lower corporate and other costs in the first quarter as a result of lower pension and post retirement costs. Moving to our end markets, our commercial markets grew 11% overall during the first quarter aided by some of our recent acquisitions as well as 4% organic growth. In the commercial aerospace market, we experienced solid mid-teens organic growth. We continue to benefit from the ongoing strength of the OEM cycle and production rate increases across the industry, with the bulk of the first quarter growth tied to the Boeing 787 platform. Curtiss-Wright remains well positioned for continued growth supported by the multi-year production up-cycle in this market and we expect this momentum to continue for several more years. Elsewhere we generated higher sales across our oil and gas businesses the bulk of which was organic led primarily by solid demand in the upstream business. We also experienced higher global sales of MRO products supporting existing refinery maintenance fees particularly for industrial valve products produced by our Phönix acquisition as well higher international coker equipment sales. We expect solid growth in the oil and gas markets to continue throughout 2014. Within the power generation market we experienced lower revenues on both the U.S. and China AP1000 contracts which are winding down. Our results also reflected slower growth from existing domestic operating reactors due primarily to the timing of planned outages. And although weather related impacts shifted some scheduled projects out of the first quarter, we expect to recruit this work during the remainder of this year. Looking ahead we expect moderate growth in the nuclear aftermarket business in 2014 as the focus on technology advancements has led to new orders in support of plant upgrades, refurbishment projects and obsolescence solutions. And finally gains in the general industrial market were primarily driven by our Arens Controls acquisition serving on-road and off-road trucks and specialty vehicles partially offset by lower commercial HVAC sales. Looking ahead we continue to expect solid demand for our industrial vehicle products in 2014 based on the improved growth outlook for OEMs and increasing global demand to reduce emissions. We also expect solid global growth for our highly technical surface treatment services based on improving U.S. economic growth and Europe’s recovery from recession. In the defense market, sales increased 3% primarily due to acquisitions. Increased sales in naval defense were driven by higher revenue on the Virginia class submarine and DDG-51 destroyer programs, which continue to receive solid funding and reflect the government support for a strong U.S. Navy shipbuilding budget. Higher sales in the aerospace defense market were primarily driven by the Parvus acquisition as well as higher sales on helicopter programs and various other ISR-related platforms. This increase was partially offset by continued lower demand in the ground defense market, which continues to be entrenched in maintenance versus upgrades. For the remainder of 2014, we expect continued growth on our key defense platforms to continue with minimal budget impact as the risk of sequestration has been mitigated for 2014 and 2015. As a reminder, Curtiss-Wright maintains leading positions in navel defense, defense electronics and UAVs, which are expected to receive increased funding in the coming years. A perfect example is the recent multi-year contract awarded to General Dynamics for the construction of 10 Virginia-class submarines, which we hope will continue to provide Curtiss-Wright with steady naval defense revenues in the years to come. Moving on to our financial outlook, full year 2014 sales growth of 6% to 8% remains unchanged from our previous guidance. And from a market perspective, our 2014 guidance also remains unchanged with total defense sales expected to grow between 1% and 5% and total commercial sales expected to grow between 7% and 11% from 2013. You can find the complete payable of our guidance by end-market in the appendix as well as in the earnings release. Our increased guidance for operating income reflects lower expected pension and post-retirement costs now that we have completed one quarter and have a better sense of voluntary employee participation in our new 401(k) plan. As a result, our growth in operating income has increased to a range of 17% to 22% in 2014, while our operating margin has expanded 20 basis points to a new range of 10.3% to 10.5%. We also increased our share count to 49.1 million shares to account for greater than anticipated stock option dilution in the first quarter based on the solid performance of our share price, note that any further dilution of 2014 share count is expected to be offset by our ongoing share repurchase program. As a result, we have increased our 2014 guidance for diluted earnings per share to a range of $3.35 to $3.45. In addition, we expect approximately 55% of our full year diluted EPS to be in the second half of the year, with the fourth quarter being highest as we have done historically. And next to our cash flow, please note that with the exception of last year, our current quarter free cash flow results are consistent with our historical first quarter performance, which is typically much lower than the rest of the year. This pattern is similar to our EPS performance as the first quarter free cash flow includes our lowest quarterly net earnings coupled with cash payments tied to annual compensations. Overall, despite the low first quarter, we increased our full year free cash flow guidance to a new range of $170 million to $190 million based on expectations for additional working capital improvements in the latter half of the year. This also raises our expected conversion rate to a range of 103% to 112% in line with our goal to maintain a conversion rate of at least 100% over the planning cycle. Finally, I wanted to point out that our comparable historical information in the new segment structure, both for the first quarter and for the full year 2013 is available within the tables of the press release and remaining quarters will be included in an 8-K filing that will be made later on today. Now, I would like to turn the call back over to Dave to provide an update on our future outlook. Dave?
Dave Adams: Thanks, Glenn. As you have heard so far to-date, we are making solid progress with our margin expansion initiatives, which continue to position Curtiss-Wright for strong profitable growth. One of the key goals of our new strategy is to achieve upper quartile operating margin performance compared to our peer group and then surpass that with our drive towards 14%. I’d like to take a few minutes to share some of our achievements in this regard and then I will open up the call to Q&A. We are on track thus far with most initiatives performing in line with plan. Recall that our original 2014 guidance calls for approximately 90 basis points in margin expansions over 2013. We expect the success of these initiatives will contribute to the bulk of the increase in margin balanced by higher sales volumes. As a reminder, the progress of each and every one of these items is reviewed with the entire executive management team on a monthly basis. Our operating teams are disciplined, focused and aligned with the goal of driving towards top quartile operating margin performance. I will begin with our consolidation programs. We have made great progress thus far including the elimination of the former flow control and controls headquarters allowing us to recognize immediate returns. We have launched 12 additional consolidation projects with more under consideration. Thus far we are ahead of plan with this initiative. Next, to our competitiveness programs where we are focused on generating significant savings from lean and supply chains initiatives. Starting with supply chain, our forecast is for approximately $1.5 billion in available spending this year and we are aggressively working to reduce that figure. As I have discussed before we previously operated under the old three segment structure with each segment pursuing different agendas beside the effect of minimizing the benefit of critical mass and leverage. We have now made this an enterprise level focus under the one Curtiss-Wright strategy. As a result the company wide supply chain management capital was created and leadership put into place where we can now exploit the benefits of critical mass consistency and accountability. To-date we have launched 10 high impact initiatives with several others in the planning stages. Thus far we are on plan with more to come during the remainder of 2014. Similarly, we have united our top lean practitioners in the field to create a lean council responsible for the oversight of our operational excellence initiatives. One of the recent projects launched by the team was the development of an assessment tool the baseline lean maturity. The tool is being deployed consistently across all Curtiss-Wright business units with the result of benchmarking our lean journey at every site. This benchmarking will from the basis of additional improvement plans across the enterprise. We are also working on various portfolio rationalization opportunities to divest some non-core operations. We have several operations targeted for divestiture which should help us to achieve our operating margin expansion objectives. As noted this process of addition by subtraction will play a significant role in 2014 and beyond. Next to shared services where the transition is well underway in our journey to world class operational status. These include initiatives across our IT, finance and HR organizations with each functional group operating at different stages in the process. Finance and IT are the furthest along and we expect our HR initiative to begin to pickup steam rather we have established new leadership in our HR organization. One of the largest components of our margin expansion plan is our segment focus. For this initiative we are concentrating on our underperforming facilities with the purpose of attaining their full potential. We have more than 10 specific business unit important plans in place with most showing signs of strong improvement and others trailing slightly behind. Our returns from this initiative are expected to be substantial as reflected in our long-term guidance and we look forward to continued progress over the next several quarters. We also have numerous strategic growth initiatives across each of our segments. In fact, we are monitoring more than 100 potential growth initiatives throughout the organization. These initiatives are specific and measurable and support our long-term organic sales growth target of 5% to 6%. Over time this will contribute to our margin expansion goals. Overall, we have a high degree of confidence in achieving strong operating margin expansion from these initiatives in 2014 and beyond, some of which you saw in our first quarter results. Again most of the contribution from these initiatives was built in our full year guidance for 2014. Albeit early in the process we are pleased to have seen the results to-date that we have experienced and I look forward to our mid-year review at which time we will have solid six months data to analyze. If these initiatives begin to exceed their current track, we will update our guidance accordingly during the future earnings call. We have also been very focused on improving working capital across our operations. Each business unit has specific targeted improvements and primary working capital metrics. These initiatives will soon begin to positively influence our cash flow and we will update you later this year on our progress. Before I wrap up I wanted to provide a brief update on the AP1000 program. We continue to make progress in the production of our reactor coolant pumps for RCPs supporting the China AP1000 reactor program. In addition, we have begun to secure smaller contracts for equipment supporting both China and U.S. new build AP1000 reactors as well as other global designs, which are expected to nicely contribute to our overall content over time. Regarding our next 81,000 order, we are in continued discussions with the Chinese regarding contractual language and we are looking forward to announcing an order once it reaches conclusion. Again, we expect this to be a significant driver of future growth in our new build business for years to come. To recap, we are off to a great start and expect a strong year in terms of operating income, margin, EPS and free cash flow. We expect our commercial and defense end markets to continue to perform well this year. As you can see the benefits of our organizational realignment are immediately paying dividends. We are making great strides in our operating margin improvement initiatives, which have and will continue to positively impact our results. Our continued focus on improving operating margin should drive strong double-digit increases in operating income and earnings per share providing a high-level of confidence in our free cash flow outlook. I also wanted to reiterate our commitment to having more balanced capital allocation between capital expenditures, returns to shareholders and strategic bolt-on acquisitions in 2014. During the quarter, we increased the dividend by 30% and reinitiated our share repurchase program, while only making a handful of smaller acquisitions, all a function of our strategic plan. Overall, I am confident that our efforts to improve margin expansion and free cash flow generation will produce long-term shareholder value. At this time, I would like to open up today’s conference call for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Michael Ciarmoli of KeyBanc Capital. Your line is open.
Michael Ciarmoli - KeyBanc Capital: Hey, good morning guys. Real nice quarter. Thanks for taking my questions.
Dave Adams: Good morning, Mike. Thank you.
Michael Ciarmoli - KeyBanc Capital: Dave, maybe just to stay on the AP1000, can you give us an update of how many pumps you guys have in backlog right now, maybe what the current run-rate is through your facilities? And I know you guys keep talking about the China order, but it seems like there is some progress out there, either with Westinghouse securing some opportunities in Britain and even Poland. I mean, is there anything else percolating out there besides just the China order?
Dave Adams: Yes. Mike, we have been obviously with – we are very close to Westinghouse and we have shipped six units to China. We have received four back that we are reworking those internally. We have some ongoing testing internally that as a result of long-term testing and that’s going very positively for us. As far as the other orders, we did see and you probably saw the Reuters news release out there that Westinghouse is looking at I think it had indicated something like $24 billion worth of business. And we have been involved in pricing exercises with various people. And those continue as we are continuing with to be a major element of the AP1000 program. And over time, this has been just to really get out of the gate with the Chinese, it’s been a long contractual negotiation period. And we see light at the end of the tunnel. So we are very hopeful in that regard. And it’s something new for us as having developed the world’s largest canned RCP. This is a pretty exciting time for us. So things are looking good for us out there, but I can’t really speak to the specifics of the negotiations and/or the bids that we have outstanding.
Michael Ciarmoli - KeyBanc Capital: Okay. And how many pumps do you guys have left in your backlog?
Dave Adams: For China or all in?
Michael Ciarmoli - KeyBanc Capital: In China and the U.S., yes.
Dave Adams: 16 for China and 24 domestically, I’d say 40 in total, because they are all technically still in backlog, because we haven’t – we are bringing them back and we haven’t – we are working on, as Dave said, remanufacturing the first eight pumps for China. So – and the bulk of those are in some form or process in our Pittsburgh plant in backlog. So I would say 40 is what we have right now.
Michael Ciarmoli - KeyBanc Capital: Okay, perfect. And then just you guys articulated the kind of 10-point plan there with each – where things stand, how do we think about margins in the energy segment going forward? I mean, that’s the one segment that notably lags the other two. I mean, as you guys kind of progress towards this target, should we see a catch up as maybe utilization improves and/or even you mentioned the coker kind of demand maybe picking up. How do we think about energy margins going forward?
Dave Adams: Well, Mike we had a pretty good quarter for them, it stood right out of the gate at 7.3%, which is basically the annual end of our guidance right now. So we believe there is definitely opportunity to improve in that segment. However, as with any forecast, we still have risks outstanding in our forecast. And certainly a bulk of them are in the energy segment. So it’s a little bit too early in the year, but I think you will see continued improvement in all of our segments in each quarter as we go forward.
Michael Ciarmoli - KeyBanc Capital: Okay, fair enough.
Dave Adams: We are just not changing our guidance for energy at this point.
Michael Ciarmoli - KeyBanc Capital: Got it. And then anything just to follow-up on that, you said that the coker demand I mean you guys haven’t really talked seemingly, positively or optimistically about that I mean are you getting a little bit more comfortable that maybe some of the CapEx in the refining environment starting to pickup maybe in different markets.
Dave Adams: We are – I talked last time Mike about our cautious optimism didn’t really want to go on a limb on it. I still don’t, but we are cautiously optimistic. We are seeing activities even in the downstream, obviously upstream is looking really good. But the downstream has picked up with some interest and quotations from us. I also indicated last call that we had released several new products to the marketplace and a couple of those new products have – we had really taken some foothold in terms of the interest. And so we got some very specific inquiries relative to that. So like I had said before I am not going to put all my – I am not going to count those chicken before the egg hatch, but I will say that it is looking positive and downstream can only be great for us if it picks up.
Michael Ciarmoli - KeyBanc Capital: It sounds good. Well, I will jump back in the queue here guys. Thanks.
Glenn Tynan: Thanks Mike.
Operator: Thank you. Our next question comes from Steve Levenson of Stifel. Your line is open.
Steve Levenson - Stifel: Thank you. Good morning everybody.
Dave Adams: Good morning Steve.
Glenn Tynan: Good morning.
Steve Levenson - Stifel: Just in relation to your comment on your focus on underperforming operations, are they across the three segments or are they more concentrated in one segment and if so which one and do you see. Well, let’s see where they are first and I will ask next question?
Dave Adams: Really, thanks for that question. I won’t single out anybody because everybody is listening. But I will say that we all have the monitor of extra forehead in terms of 14% of margin and that’s by year 2018 we are all working down that path. Some as I indicated are trailing whereas others are doing much better. We have some that are in excess of 14%, which is – which you are going to find in a business with the mix that we have and we are – and we got some that are much lower performers, but it might be a reason because of the market. It may be not core to us, it might for various reasons. And we are analyzing those. We certainly have government contracts that might preclude some of that. So to say that someone might not be at that level. Now or in the near-term it might not mean that there are necessarily a bad one because they maybe precluded from getting there anyway. But we have got – we got several that are across the board, across the three segments that we are looking at and no stone unturned is the approach that we are taking. And I will say that management is extremely incentivized to – and anxious to work with these units and we are having great success with them.
Steve Levenson - Stifel: Okay, thanks. Is it possible you will do some consolidation to put underperforming ones with managers who are doing better?
Dave Adams: We do that as the course of – a normal course of business and that will happen. You will have a management style in one case that might work better than another and/or a market now that we are all one company one Curtiss-Wright that was part of the plan that where we have areas that were stove piped off before in terms of market facing and going after the same market but under two different management structures. Well, now we have them joined at the hip and that has already paid dividends for us from the customer side, from the manufacturing side and then from the op margins side. So absolutely it has given us opportunities that we were not there prior to.
Steve Levenson - Stifel: Got it. Thanks. One other items you have in commentary on the big Virginia class submarine contract awarded the other day and how that might help you going forward?
Dave Adams: We think that – we were saying before we were bullish over the last several quarters. We have continued to say that we are bullish on the outlook of what sequestration might have helped. And we always said that we are bullish because we were heavy in naval and naval defense has been great for us, it continues to be great. This is just another testimony to that. We anticipate this is going to be excellent for us. And going forward, as I said, we are going to be building two Virginia classes a year. And that’s a lot of money to us. So we are excited over.
Steve Levenson - Stifel: Thanks very much.
Dave Adams: Thanks Steve.
Operator: Thank you. (Operator Instructions) Our next question comes from Kristine Liwag of Bank of America/Merrill Lynch. Your line is open.
Kristine Liwag - Bank of America/Merrill Lynch: Hi, good morning guys.
Dave Adams: Good morning, Kristine.
Glenn Tynan: Good morning, Kristine.
Kristine Liwag - Bank of America/Merrill Lynch: It sounds like from your prepared remarks that you have made a lot of progress in your initiatives and you had identified margin growth from headquarter footprint reduction and you talked about your progress with the higher shared services with IT, finance and HR. So, I just wanted to get an idea of where you are kind of big picture in doing all the things that you have already planned. So, kind of in baseball terms, in which inning are you now? And when do you think you will finish your identified plans for these items?
Dave Adams: Well, considering that we have targeted 2018, we are in the first of a five-year plan. And as you know, some low-hanging fruit will fall much more quickly, which it has and will continue. It did indicates that there are some, in my prepared remarks that there are some that will pay more dividends later on as we look at the entirety and in the segment focus. And it’s across the board, Kristine. I would say, I am really pleased generally with the low hanging fruit and how it has manifested itself. Supply chain is an area that takes a little longer because that’s a ship and it’s a $1.5 billion ship that takes a little bit of time to turn. And we are making headway in various aspects in that regard. And there is not a week that doesn’t go by that I don’t want to hear about some things that we are actively engaged on. And I won’t go through the details, but there are small things that add up to big numbers over a period of time. So, that gives you an idea on supply chain, that’s a longer term one probably really coming into full view next year, I would think. Then you have the shared services, I indicated that two were well along their way and one is moving on very nicely. We have already seen pickup in IT and finance and we will see some more in HR as we move along, but the segment focus that’s going to be a little bit longer. There are literally hundreds of initiatives across the business units and we track them by segment, by business unit, and managers have them to review them every month. And as a matter of fact, next week we have the rather large meeting. It’s the quarterly meeting that basically takes all of that and goes into much more detail. So, it’s all hands on deck and it’s a journey, but it’s not a three-inning, it’s a five-year journey. So, it’s like it’s going to be – if you equate that’s the nine innings you can figure that out.
Glenn Tynan: Hey, Kristine. Also keep in mind that some of these initiatives are ongoing, they are not brand new. So, it’s an ongoing program. So built into, we are estimating 110 basis point improvement in our margin this year, so some of the ongoing ones are already in our guidance. And as Dave pointed out, as we start to see that we are exceeding that, we’ll adjust it. And some of the newer like as Dave talked about the longer term initiatives start to take hold, we will update our guidance accordingly as we go forward.
Kristine Liwag - Bank of America/Merrill Lynch: Alright, great. Thank you.
Glenn Tynan: Welcome.
Operator: Thank you. Our next question comes from Michael Ciarmoli of KeyBanc Capital Markets. Your line is open.
Michael Ciarmoli - KeyBanc Capital: Hey, guys. Thanks. Maybe Dave or Glenn, you mentioned weather in the quarter creating maybe some disruptions or delays, can you sort of quantify that? And I mean you guys put up a great quarter anyway, I guess with those disruptions, so does that give you – I mean, I obviously appreciate the conservatism, but it seems like you are going to obviously pickup that lost work in the remaining quarters here. So, if maybe you could just quantify what kind of impact weather has?
Dave Adams: I’ll give you a little bit of high level macro quantification. And then Glenn can speak to any specifics that he might want to, but if you are looking at the HVAC side and industrial as well as some of the aftermarket work, the MRO maintenance that we do and some of the oil and gas sector. Those have both been affected. As you have seen noted in industry periodicals that obviously people just can’t get outside and work and that’s where all the HVAC work is. So that has had a negative effect on activity on business. And we have a lot of quotes, had a lot of activity in terms of prepping for it, but it has slowed things down. I don’t have a number on it. Glenn, if you have something specific on that?
Glenn Tynan: No, I don’t think we got a number, but we noticed our nuclear in particular, too, aftermarket business was down in the quarter. And they have planned outages in that industry and they basically – as Dave said, they work outside. It precludes them to some degree to – from doing it. So it shifted into the remainder of the year and this happens from time-to-time.
Dave Adams: It should be a strong outage there for us, by all plans.
Michael Ciarmoli - KeyBanc Capital: Okay. And then just for maybe modeling purposes here, Glenn, I guess if my math is correct, AP1000 in the defense segment was about $21.6 million and then it looks like there is some movement in the commercial, industrial and energy segments. It looks like, I guess, some of the energy flows through to commercial, can you just kind of give us a sense of what product areas are maybe moving between energy and commercial there?
Glenn Tynan: Yes. I think the single biggest difference will be the AP1000, which is in our defense, if I am understanding your question, right, is in our defense segment, but obviously it falls through to the power generation, the energy segment.
Michael Ciarmoli - KeyBanc Capital: Right. I guess you have got that reported in the defense revenues, because if I take your defense by end-market, I guess, that only adds up to $180 million. So the difference there to get to that total defense segment revenue would be the AP1000?
Glenn Tynan: That’s the big piece, that’s the big piece. The other is also included in there is our HVAC business, which is in our defense segment, but gets reported in general, industrial.
Michael Ciarmoli - KeyBanc Capital: Okay.
Glenn Tynan: Or the commercial industrial. And the other piece is we have certain thousand surface tech services that are in commercial, industrial, but really served the energy segment. Those are probably the three biggest anomalies aligning our segments to the markets.
Michael Ciarmoli - KeyBanc Capital: Okay, perfect. Alright, that’s all I had, guys. Thanks.
Glenn Tynan: Thank you.
Operator: Thank you. Our next question comes from Myles Walton of Deutsche Bank. Your line is open.
Dave Adams: Hey, Myles.
Myles Walton - Deutsche Bank: Yes, can you hear me?
Dave Adams: Yes, we can.
Myles Walton - Deutsche Bank: Okay, great. Thanks. So, one question, first, on organic growth, Dave. I know you are targeting the mid single-digit organic growth over the long-term and I am just curious as you think about a reacceleration to that point, what are the things that need to be put in place? Where do you think it’s going to be led from? And also would we see a pickup in the book-to-bill materially before we see the organic growth take place or are they going to be largely coincident with one another, i.e., any kind of short cycle businesses?
Dave Adams: I am sorry did you say upstream?
Myles Walton - Deutsche Bank: I actually said the pickup in organic growth.
Dave Adams: Okay. I think that it’s going to be pretty much a short cycle event across the board, but the majority of the products that we have out there, with exception, of course of some of the bigger military ones like the shipbuilding, but you can see in the sensor side and on the services side, obviously very short cycle. And then on the other elements in the industrial that we have within the sensory group are short cycle as well. So I don’t see that ratio changing a lot, but I do think it’s just going to be as orders flow in.
Myles Walton - Deutsche Bank: Okay. And then on the Virginia class, is the next block a substantially different ship set content for you in terms of size and revenue?
Dave Adams: No, should be the same thing.
Glenn Tynan: It is $60 million per sub.
Myles Walton - Deutsche Bank: And any impact to a step down in margin rates, because you are in a new contract or again is it relatively flat?
Glenn Tynan: Yes, it should be relatively flat, yes.
Myles Walton - Deutsche Bank: Okay. And then one last one and I apologize if I missed it, the AP1000 investment, what was that in the quarter and kind of what’s the milestone for full clear of that?
Glenn Tynan: Yes, it was about a little bit less approximately $3 million charge in the quarter as e have been saying recently, we are in the process of remanufacturing the first eight pumps on the China contract. So, this additional testing and modifications that are being required, which again when you are building a first-of-a-kind pump and with a requirement for 60-year life we know this kind of cost growth is typical, but we are committed to making the best product we can that meets our requirements as well as the Chinese. And this will be fine, we think it’s hopefully, the end of the trail, but we do expect to ship the first four pumps either late second quarter or early third quarter at this point.
Myles Walton - Deutsche Bank: Okay. Okay, great. Thanks.
Glenn Tynan: Thanks, Myles.
Operator: Thank you. I am not showing any further questions in queue. I would like to turn the call back over to David Adams for any further remarks.
Dave Adams: Thank you, Ashley and thank you all for joining us today. We look forward to speaking with you again during our second quarter 2014 earnings call. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.